Operator: Good morning. Welcome to Wesdome Gold Mines’ Q4 and Fiscal Year 2023 Financial Results Conference Call. I will turn the call over to Lindsay Dunlop, VP, Investor Relations, to begin today.
Lindsay Dunlop: Great. Thanks, operator, and good morning, everyone. Welcome to Wesdome Gold Mines’ fourth quarter and full-year 2023 results conference call. Before we begin today, we'd like to take this opportunity to remind everyone that during this call, we'll discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could cause outcomes to differ materially due to a number of risks and uncertainties, including those mentioned in the detailed cautionary note contained in yesterday's press release and in the Company's MD&A dated March 12, 2024. Yesterday's release should be read in conjunction with the MD&A and financial statements, all of which can be found on SEDAR+ and on our website. Following the prepared remarks, we will open the call for questions. All figures discussed on this call are in Canadian dollars unless otherwise noted. Now over to, Anthea Bath, President and CEO, to begin today.
Anthea Bath: Thanks, Lindsay, and good morning, everyone. Before I begin, I'd like to say a big thank you to Lindsay who'll be leaving at the end of March. Lindsay has been a part of Wesdome from 10 years now. We're certainly going to miss you and wish you well. Speaking on the call with me today will be Raj Gill, SVP, Corporate Development and IR, Fred Langevin, our COO, and Mike Michaud, SVP Exploration and Resources. Also in the room, we have Fernando Ragone, our recently appointed CFO, who took the reign from Jonathan Singh earlier this week. We welcome Fernando to the executive leadership team and thank Jonathan for agreeing to stay on in a leadership position in the business. Before I pass him over to Fred, I'd like to begin with a brief overview and outline why we're excited about what lies ahead for Wesdome. Overall, despite significant changes in 2023, Wesdome delivered on a three strategic imperatives. We achieved the midpoint of guidance on production in ASIC. We advanced development to the 129 level on Kiena head of schedule, and we ended the year with positive net cash and a strengthened balance sheet. Last month, we also updated our year-end final reserve and resources, reporting a 12% net increase in corporate reserves of depletion while keeping overall portfolio grade essentially unchanged. These achievements are a testament to capacity and the commitment of our operating and corporate team, and I want to say a special thanks to all those who are listening today. With almost a third of annual production of 123,000 ounces coming in the fourth quarter, we are hitting a new pace and are well-positioned to deliver higher production and lower cost in 2024 and 2025. As we previously announced in January, Kiena is poised to deliver a step change increase in production on the back of high-grade Kiena Deep ore in process in Q2 this year. The site mining crews are optimizing their approach, and so far, development remains on track. At Eagle River, we are seeing more consistent performance on development rates and grade reconciliation. Our focus at Eagle River near-term will be on re-optimizing the asset with a view to value and improve margin, which gives us optionality on cut-off grade and subsequently the potential to increase reserve conversion from a resource base. In terms of exploration, it remains the cornerstone of our strategy, and we see a number of ground foot exploration and development opportunities that we are confident will drive resource growth and reserve conversion and eventually utilize the spare more capacity at both operations. More on that from Mike, in a moment. Financially, we're in a far better position exiting 2023 than we have been before. Our liquidity ending the year was a $153 million and our net cash, that is our cash monitor borrowing, has climbed about $24 million with robust free cash flow expected this year mix. We're on track to close-up the remaining $39 million drawn on our revolver by the third quarter. And with that, I'll pass over to Fred, to walk through the operational details.
Fred Langevin: Thank you, Anthea. Good morning, everyone. Consistent with our internal projections, we had a very strong finish this year on production at two sites and all key initiatives is setting up successful 2024 advanced after [indiscernible] the quarter. Starting with Eagle River, production in Q4 came in at 24,072 ounces. A higher production was mainly driven by higher grades as mill throughput remained consistent with previous quarters. The 300 Zone was the main contributor to gold production in Q4, and this zone continues to provide excellent rates that reconcile positively. For the full-year 2024, Eagle has produced total of 87,799 ounces of gold, firmly above midpoint of guidance range with very stable production quarter-over-quarter. Development performances in Q4 once again exceeded budget and targets, which positions us very well for 2024 production. On the back of this strong execution at Eagle, we continue to benchmark the operation both on productivity and on cost to try and improve our cost structure to offset the cost pressures of increasing debt. We expect to start seeing benefits of this program in 2024. At Kiena production in Q4 came in at 12,144 ounces. Grade continued to track higher than upper end of guidance during the quarter due to combination of continued strong rate performance from the A2 Zone, where we are able to continue successfully cycling stope located entirely in shift and the contribution of high-grade preproduction core development into the A Zone on the way to level 129. For the full-year 2023, Kiena has produced total of 35,536 ounces, slightly above midpoint of guidance range. The ramp to Kiena Deep remains a key focus for the team in Q4, culminating in us reaching 129 level access in October. Since then, we've been focusing on developing the level infrastructure required to initiate binding activities such as ventilation raises, escape ways, and power distribution on Levels 127 and 129 with development into the ore in the A Zone now ongoing. With focus in Q1 remaining firmly on infrastructure development, partly gold production levels are expected to be consistent with the 2023 run rate average. As we complete infrastructure and install development, store production is expected to ramp up to reach steady state by the end of Q2 with grades in-line with 2P levels. Finally, after receiving the required authorization to proceed with the excavation of the Presqu'île portal in Q4, we've made headway installing support infrastructure at surface to begin excavation of the portal, which was initiated in early January. As of last week, blasting of the portal was completed and the ground support phase of the portal is ongoing. As soon as this phase is completed, development of the underground workings will commence. The 1.7 kilometer exploration ramp is being tracked closely internally as it will be key in installation, ventilation, secondary transportation and all edge access for the existing operation, but also allowing us to leverage the 32 level infrastructure to soften the Kiena Deep production starting with the Presqu'île Zone. So overall, as expected and conveyed in our last update, strong execution of the two sites in Q4 led to all full year full cash cost and all in sustaining default well within guidance range provided in January 2023. Over to you, Jonathan.
Jonathan Singh: Thank you, Fred. I will start with an overview of the fourth quarter and full-year results. Previously reported Q4 production of 36,216 ounces was largely in-line with expectations and brought full-year production to 123,336 ounces. Sales in the fourth quarter were 37,620 ounces, slightly ahead of production due to the timing of final diorite sales. All-in sustaining costs of $2,082 or US$1,529 were down slightly from the same period in 2022, primarily due to higher sales volumes. As Anthea mentioned, we expect the trend of higher output driving lower cost to continue for 2024 with guidance set at 160,000 ounces to 180,000 ounces at a U.S. equivalent of 1,325 to 1,475 an ounce. Our net income and adjusted net income for the fourth quarter for 2023 of $2.4 million or $0.02 per share. We do note that the quarter included a one-time non-cash deferred tax impact of $8.6 million or $0.06 per share but was still $5.9 million higher than the corresponding period in 2022. Cash flow from operations for the fourth quarter were $37.2 million or $0.25 per share and $101.4 million or $0.69 per share for the full-year. As a result of cash flow during the quarter and the year, total liquidity stands at $153 million up from $143 million at the end of third quarter and from $129 million at the end of 2022. Balance sheet strength remains a priority for us and we expect higher grade achievement to drive cost lower and supporting strong cash flows especially in Q2 and at current gold prices allowing us to pay down the remaining balance of our revolving credit facility by the third quarter as well as fund a range of opportunities to reinvest in the organization. Mike will now take us through the exploration review.
Mike Michaud: Thanks, Jon. At December 31, 2023, Wesdome's combined proven and probable mineral reserves totaled 1.1 million ounces from 2.8 million tonnes grading 12.7 grams per tonne gold. Combined measured and indicated resources exclusive of reserves were 327,000 ounces and combined inferred mineral resources were 808,000 ounces. Reserves continue to be based on US$1,400 an ounce gold and resources are now based on US$1,700 per ounce. Gold contained proven and probable reserves at Kiena increased 21% driven by a maiden reserve at Presqu’île of 66,000 ounces grade and 7.6 grams per tonne gold along with replacement and additions in Kiena Deep. At Eagle River, fine ounces were successfully replaced with reserves. After we applied more conservative estimation parameters and optimized interpolation techniques. There remains a large resource of measured and indicated and also inferred resources at Eagle River having the opportunity to be converted to reserves in the future. Reserves and resource estimates at both sites reflect reduced exploration spend in 2023. Drilling was therefore focused on improving geometric understanding of ore bodies and conversion of inferred resources to measured in the indicate categories. However, in 2024, the drilling program has been increased substantially compared to 2023 to approximately $30 million or 185,000 meters for a balanced program of underground delineation and exploration as well as surface drilling. It was a very exciting quarter at Eagle River as further drilling on several high-grade intersections in October have developed into a new zone namely the Falcon 311 Zone that occurs within volcanic rocks immediately west of the mine diorite. Additionally, gold mineralization was identified along the eastern margin of the mine diorite near the historic 6 Zone, confirming our theory that volcanic rocks along the trend are a host for gold mineralization. Recent drilling returned 123 grams per tonne gold over 1.7 meter core length. Meanwhile, underground drilling of the 300 East Zone has continued to confirm the consistency of the high-grade mineralization that now extends to the 1,600 meter level and remains open down plunge. Deeper step out drilling is planned to provide initial indication of mineralization below this zone to optimize future drilling and development as well as to convert the large inferred resource space to indicated and subsequently into reserves. As part of the 2024 increased exploration program, test is also planned at the neighboring zones such as 6 Zone, 711 and 811 Zones. These zones have the potential to also extend to 1,600 vertical meters below surface and beyond. On surface, drilling is planned to test a number of targets generated using artificial intelligence on our existing databases as well as several known zones such as the Fork and Birch veins. However, year-to-date, warm weather conditions may require this drilling to be reallocated to exploration targets immediately east of the mine diorite near 2 Zone. In October 23, the Company announced the discovery of the Falcon 311 Zone. Subsequent drilling has now delineated the zone to extend at least 200 meters along punch and nearly 100 meters along strength and interpreted to extend 900 meters to surface, similar to that of the neighboring Falcon 7 Zone. Recent drilling returned 270 grams per tonne over 2.3 meter quarter length including one section that returned 1,261 grams per ton gold over half meter. Obviously, this area remains a growth priority for 2024. Despite the reduced drilling at Kiena, it was an exciting year and we're able to add over 120,000 ounces of reserves between Presqu’île and Kiena Deep. Within Kiena, drilling has been focused on better delineating the Kiena Deep A Zones to derisk 2024 mine production. Particular given the high-grades in the reserve model. At Kiena Deep drilling was focused on the South Limb in 2023 and has confirmed the continuity in high-grade of the zone. Also underground exploration has been completed to extend the deeper portion of the Kiena Deep Zones as well as the Footwall Zones. This drilling will be increased in the future once more optimal drill platforms are established. At Presqu’île, drilling has confirmed not only the continuity of gold mineralization and the validity of the geologic model but also the potential for down plunge extensions towards the east, which will be further tested from surface and from underground real platforms from the exploration ramp. Of course, the Presqu’île is just one of several zones having the potential to offer supplementary source of mill feed near surface or in the upper mine area for the spare installed capacity at the Kiena Mill. To this end, recent drilling results from the Shawkey and Dubuisson zones in 2023 have returned encouraging results. Both of these zones are accessible from the existing 33 Level development that extends across the property. It is an important year for exploration at Kiena and we have developed a balanced and integrated approach to optimize the exploration spending with a combination of delineation, extension, in-mine exploration and conceptual regional targets. Other exciting targets we tested this year is the Wish Zone, which is proximal to the Shawkey Zone and adjacent to the 33 Level development. In this area, limited drilling has intersected high-grade gold along a mafic-ultramafic contact. We expect to release these through our results in the coming weeks. And further to the east at Dubuisson, drilling will be focused on refining the 3D geological model and converting inferred resources to indicate the category. Over to you, Anthea.
Anthea Bath: Thanks, Mike. As you can tell, we're excited about the future of the business. We're also focused on delivering on our commitments to our owners. This year, we are guided to produce 160,000 ounces to 180,000 ounces, essentially, evenly split between the two sides. And in ASIC roughly [US$250] (ph) an ounce below our 2023 level. This year, operational delivery at Kiena is the strategic imperative. The team has been learning from development performance year-to-date with excitement growing at development ore from 127 Level is showing plenty of visible goal, similar to what is shown on the slide. To wrap up, Wesdome is a compelling story with a compelling future. An all Canadian production growth platform with a long track record of finding and producing ounces efficiently, significantly underexplored properties with high returns in [indiscernible], low capital intensity with underutilized asset structure, and a balance sheet that will continue to get stronger and stronger. Capital efficient organic growth is raising this industry. Wesdome and the assets, the people, and the opportunity to build this business, and provide superior returns over the longer run. Thanks for listening today. And to with that, I'll turn to the operator for any questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Ralph Profiti from Eight Capital.
Ralph Profiti: Thanks, operator. Good morning, Anthea and team. Two questions. Firstly, on, Kiena. Maybe you can help me trying to understand where are you, in respect of development ahead of the mine plan? Just sort of a six month phenomenon, and what's sort of the steady state development versus mining? And are we there yet?
Anthea Bath: Sure. Fred, would you like to take that one?
Fred Langevin: Yes, of course. Thanks for the question, Ralph. Well, to give a bit more, I guess, context as to where we are at Kiena, really establishing the 129 level of rise in this critical part. So, what we need to do is develop the infrastructure there, which we started. And also as we do that concurrently, we develop towards the ore zone. So, that's been ongoing. And at this point, we're at the ore in 127 and on 129. So we need to complete development of the infrastructure that will support mining, and at the same time, continue development in ore, and then we can start stoping, in Q2.
Anthea Bath: And to just to add to that, the mining horizon allows us between one and a half and two years of mining potential.
Ralph Profiti: Okay. Okay. Yes. That's better for clarity. I appreciate that. And, maybe switching just to Falcon 311. I noticed that, borehole IP will be looked at here. I'm just trying to understand how this can help us delineate a little bit better. Is this for, bit a sort of a better understanding of the geologic stating, are we looking at sort of improved mineralogy outlook? Or is perhaps testing new targets? And is borehole IP going to help us, test a plunge towards surface or at depth or sort of a combination of all of the above?
Mike Michaud: Thanks, Ralph. Mike here. Yes, certainly the Falcon's, 311 Zone has more sulfide content, up to about 5% or so in some areas than, say, within the mine diorite. So, we're looking at surface IP combined with borehole IP. Since we have both, we can actually merge them together to get a 3D picture of what's going on to help us target the extent of that zone. But also further to the west, we've been able to do a lot of mapping on surface and define where this favorable horizon is. But, picking out where the gold actually occurs along that horizon is important and we think borehole IP and surface IP is going to be able to detect these sulfides and sort of help with targeting the drill holes.
Ralph Profiti: Yes. Very helpful answers. Thanks very much.
Anthea Bath: Thanks, Ralph.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Wayne Lam from RBC.
Wayne Lam: Thanks. Good morning, guys. Just curious on the resource update. Good to see the overall reserve additions. I was just wondering if you might be able to provide a bit more detail on the change in parameters around the estimate for the resource. And then, was there any greater dilution assumptions used? And just curious if keeping the gold price assumption unchanged, what the delta might have been versus last year's estimate?
Anthea Bath: Great. Thanks. I'm going to hand it to, Mike. I think he could help.
Mike Michaud: Yes. Certainly, on the resource side what we try to do in the Company is certainly standardize our approach, to resource estimation. And as part of that, Eagle River was on paper sort of polygonal model just several years ago when we've converted it to 3D. And, we continue to improve there, as we mine these zones particularly in the volcanics that are somewhat new to us. So, what we're really, we're looking at is standardization. We're looking at maybe introducing slightly more conservative capping levels at the Eagle River, just to kind of be more in-line with managing risk that we've already had in place at Kiena. And that was a big part of it. We're also starting as you know, we've implemented a fairly comprehensive reconciliation. It's early days. We're still working on it. But, some indications in some areas where we wanted to just manage risk a little bit better. I mean, these are very high grade zones, but sometimes when you get, over several kilograms of gold per tonne in an assays, How hard do you cap that? I mean, when we go mining, we see this these big areas of visible gold. But, I think in our estimation, and our forecasting budget, we want to manage that risk a little bit. So, we've decided to lower the capping values a little bit in some of those zones there. So, that was the impact. As far as the lowering of the, cutoff grade, we didn't change it Fork reserves, that stayed the same. It did have a little bit of an impact at Eagle River so far. Typically in some of our high-grades those are the boundaries quite sharp. Although, we are noticing that there's some, other areas of the mine that we're looking at with some lower grade values that maybe if we could, some more favorable cutoff grade scenarios might be able to bring them to mine plan as well. But I would say this is a big year for optimizing the work we're doing at Eagle River and determining, the best way to mine all of this resource out.
Anthea Bath: And I think it's important to also note that there's a significant unconverted resource. And I think that's really going to be the focus and of the team over this year.
Wayne Lam: Okay, great. Thanks. And then maybe just curious if you might be able to provide a bit more detail on how the cost optimization evaluation has been progressing at Eagle River. And, just curious if you anticipate any level of increase in cost as you move further down into the 300 Zone versus the Falcon Zone closer to service?
Anthea Bath: Yes. I mean, it's a cost optimization program we launched about three months ago, four months ago on the operation, and, it's going really well at the moment. I think we get we're getting to a point where we're getting a sense of the baseline understanding and trying to understand where the cost drivers are for the organization which we're going to leverage. And I would say that we're quite excited about what we're seeing in terms of opportunity, and we're going to keep pushing that program very strongly. Implications not only on cost are significant, but on the opportunities to convert are significant as well. We're leveraging this alongside our work on mine method and mine logic as well, which is quite exciting too. I think if you look at the overall plan, I don't think you should anticipate higher an increasing cost or going down. I think what you should probably anticipate is that you'll see Wesdome looking at cost structure overall and driving a more logical approach to execution at a cost level.
Wayne Lam: Okay. Sounds good. And then, maybe just last question for me, as a follow-up on the ramp up at Kiena. Just curious in terms of tonnage, if we should kind of assume a ramp up to where you exit the year, let's say, 700 tonnes to 750 tonnes per day? And then maybe just on the grade profile, if we assume lower grades through Q1 and maybe part of Q2, should we assume that grades kind of reach the upper end of guidance maybe around the 14 gram level, by the end of the quarter as you get into the heart of the 129 Level?
Anthea Bath: That's a good assumption, Wayne. I think quarter one, you can certainly assume that that's a ramp up. And I think as Fred said, what he's working on is preparing for mining. So, it's really important that we know that there's a lot of work being done on ensuring that we're ready to do that, and there's a lot of, infrastructure work that he and his team are looking at in quarter one. So, that's a good assumption. And then it does ramp up, and I think it's a good assumption regarding the numbers that you mentioned.
Wayne Lam: Okay. Perfect. Thanks for taking my questions.
Anthea Bath: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Ryan Walker from Echelon Capital Markets.
Ryan Walker: Good morning, everyone, and congrats on a strong finish to the year. So, just sticking with Kiena, you mentioned in the press release here briefly that you're successfully addressing the challenges of mining in schist. Now that you're in there physically, I mean, is it more challenging than you would have thought or you're seeing perhaps you're, needing to use more ground support or maybe anticipating a higher degree of dilution, during mining than you might have previously? Can you kind of just give us a status update in that regard?
Anthea Bath: A great question. Let me hand over to, Fred. I think, he's got such a lot of experience in mining this. I think he can tell you himself.
Fred Langevin: Yes. Ryan, thanks for the question. I'd say mining in schist right now is going really well. I mean, in terms of support, the support scheme that we have are successful in addressing the challenge that we've faced with. In terms of development assumptions, we also use, development assumptions that were derived, I would say, from past life mining in similar conditions. And right now, what we're seeing is our pharmacist in terms of development have actually been slightly higher than what you're assuming in our internal modeling. So, things are looking up on that side.
Ryan Walker: Okay. Great. That's very helpful. Thank you. That's it for me. Thanks.
Anthea Bath: Thanks, Ryan.
Operator: Thank you. One moment for our next question. Our next question comes from the line of John Tumazos from John Tumazos Very Independent Research LLC.
John Tumazos: Thank you very much. For a couple years, the Company was short of funds completing the Kiena project. How much, catch up is needed for machinery replacement, underground development. And we had about a 165,000 ounce fall in total resources, as we infill the past resource categories to add the reserves. And do you think one year is enough to catch up on those fronts?
Anthea Bath: Hi, John. Great question. You asked, there's two questions there. Let me start first with the capital requirements to do what we need to do. I think our capital requirements are well at, are fine, and I don't think we have a concern on adding more capital or requiring more equipment and those sort of things. So I think we can safely assume that Wesdome is well resourced at those levels to do what we need to do. And I think we well, on the way now to leverage, like you said, those issues from the past to actually move forward. I think on the resource itself, it's a really great question. And I think it's a function a little bit of the reduction in drilling that was done, in 2023 as you we, as most of us know, to catch it back, my strong suspicion, if you look at the conversion, the drill bit, and I'm going to turn to Mike in a moment. I think I would be very surprised if you can't do a great job with the amount of money we're putting into exploration, for us to get the results back to which, as you see that growth we'd like to see internally be targeting these things. And we wouldn't be putting the money there if we didn't believe that. So, let me ask Mike just to add if he's got anything you might feel on that.
Mike Michaud: Yes. I would just add, like, this year, given the limited drilling that we did, we did add a 120,000 ounces ounces of reserves. So, have to take that from the resources to get that. But, I would say we're doubling, I would say, that that the amount of drilling this year. And it is designed, like I said, it's a balanced and really integrated approach, to not only better define some of our known zones, but, to add resources, in areas. And also, look at some conceptual targets. I mean, we want to have this balanced approach going forward. So, we're always, looking for a home run on exploration, but we're also looking to replace what we might have. That's our goal there. So, we've been pretty happy with drilling that we've had, to continue to increase the reserves.
John Tumazos: In terms of the Presqu’île, how many years or how much work is needed for it to reach production?
Anthea Bath: So, we actually mentioned it before. We will be developing in that area by [indiscernible]. But are we developing into Presqu’île, end of next year, we'll be producing [proper skill] (ph), but we're going to be start development into Presqu’île during the beginning of next year. Right? So I think we you know, John, I think the resource itself will sorry, not resource. The actual program of actually mining that is well understood and we have a plan we'll be developing in the year and we'll be producing from the proper skill itself by the end of the year.
John Tumazos: Thank you.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.